Operator: Good day. My name is Eva and I will be your conference operator today. At this time, I would like to welcome everyone to the Marchex First Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the presenters’ remarks, there will be a question-and-answer session. (Operator Instructions) It is now my pleasure to turn our call over to Mr. Ethan Caldwell, Chief Administrative Officer, General Counsel, and Secretary. Mr. Caldwell, you may begin.
Ethan Caldwell - Chief Administrative Officer, General Counsel, and Secretary: Thank you. Good afternoon, everyone and welcome to Marchex’s business update and first quarter 2014 conference call. Joining us today are Russell Horowitz, Chairman and Chief Executive Officer; Peter Christothoulou, President; Michael Arends, Chief Financial Officer; and Dennis Cline, Director. During the course of this conference call, we will make forward-looking statements that involve substantial risks and uncertainties. All statements, other than statements of historical fact, included on this call regarding our strategy, future operations, future financial position, future revenues, and other financial guidance, acquisitions, projected costs, prospects, plans and objectives of management are forward-looking statements. We may not actually achieve the plans, intentions, or expectations disclosed in our forward-looking statements and you should not place undue reliance on our forward-looking statements. Actual results or events could differ materially from the plans, intentions, and expectations disclosed in the forward-looking statements we make. There are a number of important factors that could cause Marchex’s actual results to differ materially from those indicated by such forward-looking statements as are described in the Risk Factors section of our most recent periodic report and registration statement filed with the Securities and Exchange Commission. All of the information provided on this call is as of today’s date and we undertake no duty to update the information provided herein. During the course of this conference call, we will also reference certain non-GAAP measures of financial performance and liquidity. A reconciliation of these non-GAAP financial measures to the comparable GAAP financial measures is contained in today’s earnings release, which is available on the Investor Relations section of our website and definitions of these measures as used by us and the reasons why we believe these measures provide useful information are also contained in today’s earnings release. At this time, I would like to turn the call over to Russell Horowitz.
Russell Horowitz - Chairman and Chief Executive Officer: Thanks, Ethan and thanks everyone for joining us for today’s conference call. I am pleased to report that Marchex had a great first quarter. We delivered strong performance for our clients, which resulted in record revenue and growth. I want to take a moment to thank our employees who solved hard problems everyday to make mobile and call advertising work for our customers. Keeping our client’s success at the forefront of what we do has positioned Marchex as a leader in this crucial and emerging market. The growth we are experiencing is being driven by two factors. First, advertisers are increasingly embracing mobile as a performance-based medium. This means they want measurable results from mobile and they are now investing significant budget in call driven advertising to get those results. Second, with the rapid adoption in mobile, consumer phone calls are fast becoming one of the most important outcomes of mobile ad campaigns. We have recognized several years ago that calls would transform the mobile advertising landscape and we invested heavily in unlocking this opportunity. Phone calls contain valuable information about consumer to business interactions and the data that Marchex can extract from these conversations makes our call analytics technologies and services indispensable to our client success. We are providing strategic insights for advertisers with new layers of depth and granularity, insights that are never surfaced before. We are pleased with our early progress this year and excited by the trends we see playing out in our business. In our recent study, Google found that 70% of consumers call businesses after conducting a mobile search. This consumer behavior coupled with growing call volume for mobile apps, maps, voice searches and other sources means call supply is growing rapidly. Advertisers are increasingly noticing that as customers go mobile, the phone is ringing more than ever. This shows no signs of slowing down. The International Data Corporation, a global market search firm, predicts that there will be 10 times the number of mobile phones versus PCs in consumers’ hands by 2017. We believe this will continue to be a force that drives calls to businesses. Understanding what’s happening on these phone calls presents a large opportunity. Businesses already spend billions of dollars annually across media platforms to capture and drive consumer calls to call centers and small businesses. BIA/Kelsey, a media research firm, found that 61% of businesses prefer a phone call in response to an advertisement over any other actions, including website visits and clicks. We can see why? Phone calls can yield greater customer conversions, particularly for service-based businesses. When a consumer is engaged in a live conversation businesses have an open door to creating a real time authentic exchange. Ultimately it’s these connections that drive sales and plant the seeds of customer loyalty. How do we know this, we know because our technology examines data from hundreds of millions of conversations between advertisers and their customers. In fact, Marchex has processed and analyzed more than 1 billion phone calls including more than 300 million last year alone. This data gives advertisers a 360 degree view of their ad campaign performance, a transparency our clients are hungry for, while shedding light on how they can provide the best consumer experience over the phone and we have only scratched the surface with the data and insights we can provide. Being an early entrant in this market has given us the advantage in developing the technologies needed to make mobile work. As we embarked on our mission we quickly learned that the complexity of doing this required us to invest in hiring a diverse team that intimately understands voice technology call centers and telecom infrastructure as well as other aspects. Our call analytics platform has been the focus of investment for more than four years and it’s designed specifically around understanding conversations and solving fundamental problems like caller targeting, call spam, attribution and most important conversions. Years later we now have a deep understanding of what makes the high quality consumer to business phone call and we know how to consistently and efficiently drive more of these calls than anyone else. Our intellectual capital is the foundation on which we have innovated with more than 30 patents granted are pending. One example is our call spam blocking technology Clean Call which aggressively detects and blocks telemarketers, robocallers and other spam dialers, while ensuring good callers aren’t blocked. In 2013 alone we blocked more than 40 million spam calls to small businesses who are dramatically impacted by the cost of handling unwanted calls. Our capabilities are only growing. We have recently developed a transformative new product named Call DNA which produces real time insights into the quality of a call. This technology reveals interactions between consumers and call centers with a granularity that advertisers have never had before. Call DNA just builds the dialogue between the consumer and the call center by creating an automated visual map of the conversation. This gives advertisers the power to immediately asses the media channel advertisement and key words that generated the phone call and decide if the (indiscernible) source merits additional budget or needs to be deemphasized in the marketing mix. We are receiving very encouraging early feedback from advertisers as we continue to evolve our products. Today, our technology is providing us with a unique competitive advantage in delivering transparency and a high return on investment for advertisers who rely on customer phone calls as part of their customer acquisition process. As the first quarter demonstrates our products are well positioned to meet the needs of advertisers as they have been – begin to increase spending in mobile performance advertising. We have been able to expand budgets with existing advertisers which has helped inform our approach and strategy how we grow opportunities with new advertisers. During the quarter we continued to expand our advertiser footprint adding relationships with Tire Factory and Trilogy Automotive. This along with the retention rates are what helps to set a foundation for strong long-term growth. We are also focused on other growth catalysts including expanding our agency channel. We have early growing relationships with OMB, Havas and Resolution Media among others. We look forward to broadening these conversations as calls become a critical consideration for advertisers looking to make mobile performance advertising work for them as a key part of their customer acquisition strategies. In addition, we continued to expand our footprint of mobile and online sources during the first quarter. This year we announced the preferred partnership with MapQuest one of the leading mobile and online map destinations. The partnership allows Marchex to leverage MapQuest broad reach of consumers across every digital channel. The intelligence we have built around calls has helped us to build trust with our clients. They see us as an integral partner in making mobile work and driving customer acquisition. That trust is helping us win additional budget and increase our penetration with some of the nation’s largest advertisers. In turn this has helped us to build relationships with publishers who will view us a critical partner and monetizing mobile and call advertising. The convergence of all of these pieces will continue to support leadership and growth now and into the future. With that, I will hand the call to Mike to discuss our first quarter results and our updated outlook for 2014.
Michael Arends - Chief Financial Officer: Thanks Russ. For the first quarter call driven and other related revenues were $45.5 million, while total revenue was $55.5 million including $1.9 million in domain sales. And the first quarter represented a record in call driven revenue and growth. Our call advertising products continued to see strong sell through with existing advertisers on a year-over-year basis as we have grown budgets with many of our advertisers in 2014. We also benefited from some of our advertisers shifting a small portion of their budgets into the first quarter from later in a year. This progress combined with our growing pipeline led to our continued strong growth. For the first quarter including domain sales, Archeo revenue was $5 million. Domain sales were $1.9 million during the quarter. Total operating costs were $45.8 million for the first quarter of 2014. This total reflects continuing operating costs and excludes stock based compensation, separation costs and amortization of intangible assets. Sales and marketing costs excluding stock based compensation were $3.2 million. Over the coming periods, we expect our marketing expense may modestly increase from current levels in support of continued growth of our sales and customer support teams. Moving to adjusted operating income before amortization and EBITDA from continuing operations, for this quarter and the foreseeable future we are reporting two separate methodologies, one including and one excluding domain sales. We are doing this to ease comparisons with revenue recognition. As we have highlighted previously since the launch of the domain marketplace in September last year we have recorded domains in revenue in accordance with GAAP. We believe this approach makes comparisons easier on a perspective basis. Including domain name sales, adjusted operating income before amortization from continuing operations for the first quarter was $4.7 million and adjusted EBITDA was $5.7 million. Excluding domain sales adjusted OIBDA and EBITDA was $2.8 million and $3.8 million respectively. Call driven adjusted OIBDA and EBITDA was $2.4 million and $3.3 million respectively. GAAP net income from continuing operations was $810,000 for the first quarter of 2014 or $0.02 per diluted share. This compares to GAAP net income from continuing operations or $85,000 for the same period of 2013 or $0.00 per diluted share. Including domain name sales adjusted non-GAAP income per share from continuing operations and estimate some Wall Street investors utilize as a supplemental measure of our operating progress was $0.08 per share and $0.05 per share excluding domain sales. During the first quarter, we generated $8.1 million in operating cash flow and had more than $38 million in cash on hand as of March 31, 2014. In addition, we added $32 million in early April as part of our financing bringing our pro forma cash balances to more than $70 million. Now turning to our updated outlook for 2014 and the second quarter, I would like to continue highlighting that our business is being driven by call driven products and our investments are centered on maximizing market adoption given the relative nascent stage of performance based mobile and call advertising. Given the relative contribution of our call driven products and magnitude of our opportunity, we believe focusing on call driven revenues and profitability measures is the most appropriate way to communicate our business progress and guidance going forward. Given this and the variability inherent in Archeo domain sales, we are not providing financial guidance on any Archeo operating results today or prospectively. Archeo operating results would be incremental and additive to our call driven revenue, profitability and other measures provided in our guidance. Looking first at our call driven revenue guidance for 2014, for the year we are raising our forecast for call driven revenue to $171 million or more, which represents 27% growth over 2013. Additionally, for the second quarter of 2014 we anticipate call driven revenue of $43.5 million or more. While advertiser budgets can change and we can experience period to period variability based on a variety of factors, we are excited about the progress we are making with our existing customers. The visibility in our business is increasing as we further entrench ourselves with our customers through deep integrations. Furthermore this success creates a roadmap to win and scale new customers over time. Next looking at call driven adjusted OIBDA and EBITDA margins, for 2014 we are projecting $8 million or more in call driven adjusted operating income before amortization and $12 million or more in call driven adjusted EBITDA. This guidance implies year-over-year call-driven adjusted OIBA growth of more than 27% and reflects fully burdened call-driven results under a standalone model. These amounts exclude any contribution from the Archeo assets and domain sales. For the second quarter, we anticipate a range of $1.5 million to $2.5 million in call-driven adjusted operating income before amortization and a range of $2.5 million to $3.5 million in call-driven adjusted EBITDA. A key area of focus for us is to continue to invest in building our technology and support our partners as they expand their footprint with us in 2014. We are highly focused on capitalizing on our early mover advantage and performance based call advertising. And we are continuing to invest to support our growth opportunity. While we believe there is significant margin leverage in our business over the long-term, we are focused on becoming leaders in this emerging market and supporting the momentum in our business in the near-term. With that, I will hand the call back to you Russ.
Russell Horowitz - Chairman and Chief Executive Officer: Thanks Mike. While we are encouraged by the momentum in our business, there is still much to do. We believe we are in the early stages of our opportunity as advertisers continue to embrace mobile and call advertising as the performance medium. Through our technology, people, and products, we believe Marchex will continue to emerge as a leader in this market. We are excited about our progress and we look forward to updating you throughout the year. With that, I would like to hand the call back to the operator for questions.
Operator: (Operator Instructions) Your first question comes from the line of Ross Sandler with Deutsche Bank.
Ross Sandler - Deutsche Bank: Thanks, guys. I guess Mike just two questions for you and then a couple for Russ. So, Mike on the financials, the quarter was even stronger than the updated guidance from March. So, can you just give us a little more color about what you are seeing that drove that upside and is the pace of call revenue exiting the quarter and into 2Q accelerating? And then if you look at the full year guidance, you went up by $9 million versus what we were last quarter and yet only $5 million of upside in the first quarter, so implying an additional $4 million of future flow-through. So, can you talk about what’s giving you guys the confidence this early in the year to put up such a big number on the call-based revenue? And then I have got two follow-ups for Russ.
Michael Arends: Thanks for the question, Ross. So, a couple of things are driving this. I think from a customer standpoint, just the message of performance and providing the insight in the intelligence functions around the transparency of what’s happening in the course of those phone calls is starting to resonate more and more especially with some of our existing customers that we have been working with for 18, 24, and 36 months. And so there is a significant growth from a lot of those kind of customers that we have had for 12 months or more and that included customers like Allstate, but we also made significant progress in the first quarter from customers like Time Warner Cable. We have been on-boarding and piloting Bridgestone for many months now. And in the first quarter, they were a growth contributor. Some of the folks in the real estate vertical, Primedia, and Zillow were growth catalysts for us. State Farm was an insurance company that we have been working with for a little while now and they were also a driver of our opportunity. And when you think about how that is translating, one it’s helped us from the first quarter perspective. It’s also helping us get more confidence in terms of just our outlook as we look through the rest of the year and what some of those existing customers maybe contributing. We also have been on-boarding and piloting more new customers sharing the last little bit, whether those are contributing meaningfully or not for us this year were not building into our forecast models, but I do think there is also some potential further updates that we could look at later on this year, if any of those new ones also provide meaningful contribution.
Russell Horowitz: This is Russ. Just to briefly augment what Mike said, the other aspect is the markets catching up with us. We knew we were very early in this market. It’s still very early in this market, but the market is catching up with us. The second part is we have a lot of confidence in the solution we built and its ability to measure calls and find high-quality calls in mobile, which is harder for us to predict outside of our ability to deliver performance for our clients is when budgets tip. And when they, tip they can move and we are seeing that happen in certain cases. I think we do view that as a good thing and a validator of where we are going.
Ross Sandler - Deutsche Bank: Great. And Russ, the two I had for you is just more on the customer win, so in the quarter you signed a master service level agreement with Allstate and how many other larger advertisers do you think would be potential candidates for that type of a strategic partnership? And can you give us an update on the push into the agency channel and some of the bigger potential customers coming from that effort?
Russell Horowitz: Thanks. Both good questions. When we think about how many potential customers are there that we can achieve real scale with like we have with Allstate and some others. We have identified what we think are the 10 verticals that are kind of the early adopter verticals for mobile and call advertising. And within each of these 10 verticals, you could see there is generally kind of 8 to 10 or more players with 3 to 5 really big players. And so when you look at how we have mapped out the opportunity, we do think there is a couple of dozen verticals that were very well-suited to step in and solve this problem and lead with. And we are focusing on those 10 that we think are most here and now. So, we think there is a lot of other customers like Allstate for whom we can be a good partner and achieve a significant level of scale and we continue to add to the roster and perform in ways that we think can help support the direction of our growth. In the context of the agency push, this continues to be very much front in center. We mentioned some of the early relationships we formed. We are really looking at this as a catalyst for growth for us based on relationships we formed this year going into 2015. To Mike’s point, to the extent that success happens earlier, that is the upside for us, but this is an area that you will be hearing more from us for sure as the year unfolds.
Ross Sandler - Deutsche Bank: Okay, that’s it from me. Congrats guys. I haven’t seen these growth rates from you in a long time, so this is definitely an exciting time.
Russell Horowitz: Appreciate it, Ross.
Operator: Your next question comes from the line of Gene Munster with Piper Jaffray.
Gene Munster - Piper Jaffray: Hey, good afternoon and congratulations. Russ, you mentioned a minute ago that the market is catching up to you can you kind of expand on what you mean by that? And then separately, we have always talked about this market being generally in its infancy and can you do the classic what inning are we in, in this whole call phenomenon? And then I have a follow-up question.
Russell Horowitz: Sure. In a nine-inning game, I think we are second or third inning. So, I think it continues to be very early when we think about the market catching up with us. The way I would describe it is add dollars, follow consumers. Consumers increasingly are accessing content that’s driving decisions through mobile devices. A couple of years ago that might have been 10ish percent. And so even though people knew mobile would be big some day, it wasn’t a ton of urgency to having to solve that problem right then. As of 2013, we exited with most folks seeing more than 35% of their traffic coming from mobile and pretty much everybody knowing it was a fait accompli that very soon mobile would be the predominant way through which consumers were accessing information. And we continue to see that accelerating and won’t look back. And so what’s happened in the course of the steepening of mobile adoption and knowing that add dollars follow consumers is that this has become going from a nice to have or a nice to understand to a must have, because at the end of the day, these companies count on these channels for customer acquisition. And so that’s where it’s catching up with us, because we have been out there building the solution and being focused on solving this problem. And we have gained some early adopters, but we are at its phase now, where it appears we are approaching a tipping point. And that this is becoming a must have. If you are out there doing strategic customer acquisition, you have to understand mobile. And if you are focused on mobile, you have to understand phone calls. The combination of those two things now is really helping us.
Gene Munster - Piper Jaffray: Okay. And then just a follow-up in terms of pricing, I guess one thing that’s unique about your model is you are charging for successful calls and any just general trends, is it pricing coming down and that’s having a positive impact on getting in new customers or is pricing going up as existing customers are commencing to ROI, any just kind of general trends within pricing phenomenon?
Michael Arends: Thanks for the question, Gene. This is Mike. So, pricing is consistently across the board generally stable and the same as to what it’s been. And that’s very much predicated on something that we are doing consciously as part of the marketplace. Our goals here are to make sure that we can get market adoption and drive forward the opportunity with more and more customers being able to get penetration. And even as we advance some of the product offerings and evolve the analytics where we are able to actually provide better returns for the advertisers, we are passing that improvements those technology innovations and improvements on to the advertisers so that they can actually get more of a return on an ad spend today on the same basis compared to what they were getting in the past. And that’s our goal not just today but for the near-term at the very least to try and continue to gain market adoption.
Russell Horowitz: And just to briefly augment that if you look at prior transformative opportunities in the advertising space, the companies that have won big, haven’t come in with a new solution that’s 10% better at driving performance, it’s been 30%, 50% better which people when they understand that really gets them to take notice and start moving against that. And so for us we believe in the longer term we will be benefactors of increased pricing, but on the shorter term basis it’s translate our capabilities to perform measurability and transparency in a manner that can tighten the cycle around adoption of our products and help accelerate our growth.
Gene Munster - Piper Jaffray: Okay. And then I guess just final question you mentioned continued investment in the business, is there a kind of some big pools and you are investing whether it’s sales people or technology or both and is there one that ends up being a little bit bigger than the other?
Michael Arends: Today over half of our company is dedicated to the product development and innovation teams and we see that continuing on a go forward basis just given the early stage of the market. And also trying to advance the innovation and the intelligence functions I also think on the sales side of things because of the accelerating market opportunity expanding our sales footprint is one of the initiatives that we have on the table in the near-term. And then just making sure that our infrastructure is able to accommodate some of the significant scaling and volume initiatives we have on a go forward basis are – those are three key areas that we are focused on in the near to intermediate term.
Gene Munster - Piper Jaffray: Alright, thank you.
Russell Horowitz: Thank you, Gene.
Operator: Your next question comes from the line of Dan Salmon with BMO Capital.
Dan Salmon - BMO Capital: Hi guys. Good afternoon.
Michael Arends: Hi Dan.
Dan Salmon - BMO Capital: You always – this question has been asked before and often in reference to Google and lately it’s come up a little bit more around Twitter moving into call based advertising, I know your didn’t – your response has always been that bringing some new competition and new exposure to the medium was – has been a bonus and that certainly seems to have been the case with your results here, but maybe just Russ just maybe a little bit on how you see the competitive environment evolving these days with particularly with some of those big publishers and mobile publishers versus more of an intermediary business that you provide. And then just to maybe some bigger picture thoughts on where you could potentially see international expansion going, I know you have had some work in Canada at different times, but is that a near, mid or a long-term strategic issue for you?
Russell Horowitz: Sure. First off kind of hitting on the second part of your question first, anybody facilitating calls we think is good for us. We think we are ideally positioned by virtue of the products we build and our approach to helping advertisers, navigate a diversified and fragmented ecosystem. And so when you see some of the social media companies and others step-in, in this whole kind of dovetail and to your question about Google at Marchex our promise to these customers is we are going to get you in front of your customers in the markets you serve when they are looking for the products and services you offer. And so we are excited about the evolution of publishers and their focus on mobile because we know that means they need to understand calls and aggregate and be able to target the budgets to deliver quality and volume. And so overall we feel like we are well positioned to again deliver value to the clients as you see some of these publishers adopt new solutions in mobile. And then as it relates to Google what we have talked about on the past is in conjunction with that promise, Google turns out to be a pretty good source of high volume and quality. But without the right analytics to measure it and find it and understand kind of what the right approach is to creating campaigns that can target it, you are in a tough spot. And so for us as we have gone out and built these relationships we have organically reached the place where customers come to us and ask if we will extend our solution to Google. And historically, it’s been less than 10% of our business, but there is a lot of volume there and we have been able to leverage our solution to grow that business. And Google has been very happy with that relationship, because we have been a big validator of where the value lies within Google and an accelerant of budgets moving in that direction. And we think there is more opportunity with them. And so all-in-all, we like the relationship and again we think there is opportunities for growth.
Dan Salmon - BMO Capital: And then maybe just the follow-up on international ambitions?
Russell Horowitz: Yes, this is an area, where it’s a global market. At the same time, we have been focused on really building a beachhead here in the United States, where you have got a gigantic opportunity. But what we understand is a lot of our customers are multi-national and have interests abroad. And we need to be that solution that travels with them. And so we are really using them as the catalyst. And we do view international, when you think about the next 12, 24 months as an incremental growth opportunity for the company. We haven’t built it into kind of the revenue side, although we have factored in investment in both people and infrastructure to the cost side to some degree to get us out there and to be able to support those customers. And as we go with them into markets, it gives us the opportunity to add in market customers as well. So, that will be a growth catalyst for us as we think about the next 12 to 24 months.
Dan Salmon - BMO Capital: Great, thanks Russ.
Russell Horowitz: Thank you.
Operator: (Operator Instructions) Your next question comes from the line of Darren Aftahi with Northland Securities.
Darren Aftahi - Northland Securities: …..my questions and congratulations. Just a handful. So, is it possible to kind of get a sense for maybe same-store sales with existing customers? And in that vein kind of a breakdown perhaps of the mix of existing customers in the quarter for call-driven and new customers? And then I have got a handful of follow-ups.
Michael Arends: So, when we think about just how we onboard, a lot of customers think about $25,000 to $30,000 test programs that trial over a three-month to six-month period of time. And it is those trials and tests when we can onboard them and progress them from a trial where they can expand their budgets fairly significantly, particularly in the Fortune 5000 national enterprise type customers. And they can double and quadruple the budgets fairly quickly after those kinds of trials. But from a contribution perspective, the on-boarding and the piloting of customers this year just by virtue of those dollars that we are talking about having contributed a lot. So a lot of the growth is coming from some of the existing customer base that either on-boarded 12, 18, 24 plus months ago and have grown and entrench themselves and gone through the annual budget cycle with us, where they have committed hundreds of thousand dollars of thousands of dollars, and in some cases, millions or multimillion dollars of budget spend with us for the current year end. Some of the example customers, a key growth driver for us is just the relationship that we have with Allstate where we are growing them now to a multi-million dollar customer over eight figures. We had expansion I mentioned earlier with State Farm, another insurance company of significance during this past quarter. Time Warner Cable was another example. Bridgestone in the automotive area was a key driver for us. DISH was a driver. And in the real estate verticals, some of the examples we have, Primedia and Zillow were customer growth areas. And as I also mentioned before, we have got some of these on-boarding and pilots and they are literally just trials at this stage. They could be very meaningful customers, whether they hit and contribute significantly this year or not, we don’t have that built into our forecast, but we do think there is some robustness in terms of how they can progress into the latter part of this year and obviously become contributors in 2015.
Russell Horowitz: Yes. And simplistically, last year’s customer wins drive this year’s growth and this year’s customer wins drive next year’s growth given the way we know we are go in and prove out our value and then see budgets increase. And so when we modeled our business and thought about it, it’s – it is predominantly modeled around growth from existing customers.
Darren Aftahi - Northland Securities: Great. And then, two more, one for Mike, I think you had said you saw a little bit of budget spillover from 4Q into 1Q, I mean, was that material in the quarter? And then perhaps for Russ, so intra-quarter in 1Q, you guys obviously had a relationship with the YP and Yelp’s partnered with them. Can you talk about any potential opportunity there longer term? Thanks.
Michael Arends: Just in terms of some of the budget shifts, we did have some moves and shift to budget. It wasn’t large amounts. And we do think there is opportunity to get even more budget as we progress throughout the course of the year. So, I will leave it at that. And then Russ, if you want to address the other question?
Russell Horowitz: Yes. We look at the different players again in the mobile and call driven ecosystem. And our focus is we are not going to come at anyone specific today, but we see opportunities with lots of folks and wherever we see opportunity, we are cultivating and building relationships.
Darren Aftahi - Northland Securities: Great, thank you again.
Russell Horowitz: Thank you.
Operator: Our next question comes from the line of John Campbell with Stephens.
John Campbell - Stephens: Guys, thanks for taking our questions and congrats on a great quarter. So, most of the questions – most of my questions have been answered, but Russ, you talked about seeing budgets tip or hitting a tipping point and going from maybe a modest rev contributor to kind of a meaningful contributor overnight, but just curious about the typical timing of how customers transition. I know that’s going to very much vary by customer, but just generally, is it typically like a one-year pilot, then you see that kind of budget tip or is it a kind of multi-year process?
Russell Horowitz: It ranges. The good news is it seems to be tightening, but we kind of look at this through the lens of 6-month to 9-month process.
John Campbell - Stephens: Okay, great. And then I hate to continue harping on this, but I mean, if we look at ADT and Allstate, two of your larger customers, both start off as very, very small customers and now have grown to obviously meaningful contributors now on the national side, but as you guys look at some of those Bridgestones, Time Warners of the world, I mean, are those relationships pretty similar? Obviously, the companies are similar in size, but were they running similar type test budgets and basically as you look back at your relationships as you started off with ADT and Allstate are those kind of similar to what you are seeing now?
Russell Horowitz: Yes. We have many relationships with seven-figure customers with whom we see lots of opportunities to grow potentially in very meaningful ways.
John Campbell - Stephens: Okay, great. Thanks for taking our questions.
Russell Horowitz: Thanks a lot. Appreciate it.
Operator: And ladies and gentlemen, there are no further questions at this time. Do you have any closing remarks?
Russell Horowitz - Chairman and Chief Executive Officer: We appreciate everyone’s participation and we are glad to be able to update you on our progress and we look forward to updating you as we continue to build and go through the year. Thanks again.
Operator: This concludes today’s Marchex first quarter earnings conference call. Thank you for joining. You may now disconnect.